Operator: Thank you for standing by. My name is Karen and I will be the conference operator today. At this time, I would like to welcome everyone to the Genius Sports Fourth Quarter 2024 Earnings Call. [Operator Instructions] I will now turn the call over to Genius Sports. Please go ahead.
Brandon Bukstel: Thank you and good morning. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our annual report on Form 20-F filed with the SEC on March 15, 2024. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius' operating performance. These measures should not be considered in isolation or as a substitute for Genius' financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings release and earnings presentation, which can be found on our website at investors.geniusports.com. With that, I'll now turn the call to our CEO, Mark Locke.
Mark Locke: Good morning and thank you for joining us today as we conclude another successful year across the business. Over the course of 2024, we've carried out many strategic, commercial and financial objectives to deliver a great year for our business and position ourselves for continued structural and sustainable growth. The results of these objectives are now clear in our latest set of financials and in our guidance for 2025. To quickly recap, we reported year-on-year group revenue growth of 38% in Q4 to $176 million. This brings our full year group revenue to $511 million representing a 24% growth in the year right in line with our increased guidance and well ahead of the $480 million we guided to at this time last year. Our group adjusted EBITDA increased by over 2.5x year-on-year to $32 million in Q4 bringing our full year EBITDA to $86 million, also in line with our guidance and also well above our expectations at the start of the year. This translated to 900 basis points of margin expansion in Q4 and 390 basis points for the full year. Importantly, we have also reported our first year of positive net cash flow just as we communicated we would throughout the year. We generated $82 million of operating cash flow in 2024, increasing more than 5x from just $15 million in 2023. This amounted to a year-end net cash balance of $135 million, a $9 million increase year-on-year. This marks a critical inflection point as we expect to increase our annual cash flows each year going forwards. By this point, I hope we have demonstrated a clear operating leverage that exists in our business model, which we will continue to benefit from in the years ahead. This momentum should continue in 2025 as we expect to deliver $620 million in group revenue and $125 million in group EBITDA. This represents yet another year of 20% plus top line growth, margin expansion to 20% and increasingly positive cash flow. Further to this, we believe our balance sheet strength will be the key to unlocking the next phase of growth in profitability for our business. We sit here today with a strong balance sheet and a predictable cash generative business model that affords us the flexibility to allocate capital in a prudent manner to support additional growth and scale. For instance, much of the $82 million in operating cash flow this year was reinvested in our continued rollout of Dragon and our next generation computer vision, AI and machine learning technology platform. This tech is capturing next generation data, which enables our new innovative products that creates value for our partners across the entire sports ecosystem. This technology platform and set of products are extremely difficult to replicate thus widening our moat and strengthening our competitive differentiation. Now that we have reached this cash flow inflection point, we expect to have more capital to put to work to further solidify our position and execute on this strategy. We expect to maintain our current pace of discretionary investment in technology and product development while also having greater flexibility for potential M&A to further support this strategy. As Genius is achieving greater scale, the broader sports technology industry is becoming more fragmented. As a result, we are seeing many high quality yet subscale technology companies come under pressure. As Genius is a large scaled business touching so many parts of the ecosystem; leads and teams, betting operators, sponsors and advertisers and broadcasters and content distributors all on a global basis; we believe we are well positioned as a natural consolidator of businesses that provide back-end mission-critical technology and can further support our strategy to widen our moat and differentiate our product set. To be absolutely clear, we will be opportunistic about any potential M&A and maintain very tight guardrails. There are no gaps in our business model or technology so we'll remain disciplined and focused on generating high ROI for all shareholders meaning we will only consider opportunities that are margin and cash accretive and aligned with our strategic objectives. Additionally, we believe the underlying business is on a clear path to organically achieve our long-term EBITDA margin of at least 30%. In fact we believe that any potential M&A may even help us reach that long-term target in a quicker time frame. We're excited about this next phase of our journey and the opportunity to become an even stronger and more profitable business than we already are. Additionally, we have built a high powered team of people to lead us through this next phase of our journey, including new senior hires in New York as we have previously announced, and I anticipate that this will continue as the gravitational center of the business will continue to move from London to New York as the U.S. becomes an increasingly important part of the business. And while the opportunities ahead of us are exciting, in the meantime we are very happy with how the business is performing today. To begin, the biggest contributor to our growth in profitability and cash flow in the quarter was the betting business. As you know, our betting revenue has multiple levers of growth; including growth of total betting volume, new customers and new markets, growth of in-play betting, improvement in operator win margins, price increases and cross-sell of additional content and services as part of our contract renewals and renegotiations. Despite the pressure on bookmakers' win margin that we've seen this NFL season, our results were still exactly in line with our guidance and we believe that this is a good opportunity to remind you of our differentiated resilient business model. Of course we always prefer better game outcomes for bookmakers. However, given our unique position, we are far less exposed to any volatility in bookmaker performance and not overly reliant on weekly or monthly win margins since we benefit from several other growth drivers. For instance, we continue to see strong momentum of in-play, which represented 30% of the total NFL betting volume in the quarter. Growth of in-play remains an important revenue driver for us given that we earn a premium share of each of the in-play revenues versus pre-match revenues. This combined with higher overall pricing in our recent contract renegotiations led to betting revenue growth of 48% year-on-year making it our strongest quarter of growth since Q4 2021. In the U.S. specifically, our total revenue increased 51% year-on-year primarily due to our successful contract renewals with every major sportsbook in the U.S. Our results from this quarter prove our ability to outpace the growth of the broader market and doing so with less downside risk relative to other participants in the sports betting industry. We hope this also demonstrates our commercial capabilities considering our success through a heavy contract renewal cycle with every major sportsbook customer in the U.S. On Slide 8, you'll see how this resulted in a strong dollar-based net revenue retention for the year. As you can see, our 2024 net revenue retention was 146% for our Top 25 global customers highlighting the growth we continue to achieve even in the most mature markets. This growth is even more pronounced among our Top 10 U.S. customers where net revenue retention was 163% in 2024. So while we cannot disclose exact pricing terms on each individual contract, we believe this is a helpful metric to measure and share the success of our latest renewal cycle of course in addition to the strong financial results from the quarter. We believe these contract renewals offer us frequent opportunities to provide new value-add products and services to help sportsbooks enhance their offerings to consumers especially as we have developed exciting new products to drive more engagement. This is exactly how we have achieved strong net revenue retention historically and how we expect to sustain that success going forwards. One of the most exciting new products that has proven to drive engagement is BetVision, which brings me to Slide 9. As a reminder, BetVision is a highly engaging interface where users can find low latency streams of NFL games with fully interactive betting and view experiences all integrated into the video player. This is a one-of-a-kind watch and bet experience and also a key driver of in-play betting making it a valuable fan engagement and monetization tool for bookmakers. Importantly, we are continuing to enhance the features and functionality to make BetVision unique and further differentiated. For instance this year's Super Bowl featured a touch-to-bet functionality with few of our sportsbook customers. This new feature allows users to actually touch on a player directly from the video stream to access that player's statistics and betting markets. From there, users could seamlessly play to bet on that player, all within the BetVision interface while still watching the live stream. This was an important milestone in our product development and adds a new layer to the BetVision experience. The distribution and product innovation has led to another successful year for BetVision and we are encouraged by the results from its second full season. First, the product has gone global as we have streamed NFL games via BetVision in 13 different countries. More importantly, we continue to see significant growth in overall viewership. [ Third ], the weekly average number of unique streams this season has more than doubled compared to last season. We have also seen increased viewership within the most recent NFL season. From the first half of the season to the second half, we have seen weekly average numbers of unique streams increase by 33% and the weekly average number of unique devices increase by 19%, indicating strong product adoption through the season. This implies not just an increase in the total number of users, but also suggests that users are increasingly accessing multiple unique NFL streams. And lastly, in-play betting represented 76% of the total handle through BetVision platform, which compares favorably to the roughly 30% mix across all NFL wagering this season. To put it simply, BetVision is gaining significant momentum. The level of user engagement and interactivity is extremely valuable to every partner that we serve. Sportsbooks of course, but the leagues who want to deliver the content in new and exciting ways as well as the advertisers who want to find captive audiences during moments of live sporting events. So you can appreciate how BetVision is becoming the platform that ties together our most important strategic objectives and one of the ways we benefit from touching so many parts of the sports technology ecosystem we outlined earlier. Thanks to the success of BetVision for the NFL, we are now expanding this product to other sports across the globe. We aim to launch BetVision for international sports like soccer, which is expected in Q2 of this year and basketball expected in Q3. This product expansion represents another key milestone as we aim to make BetVision ubiquitous and look forward to sharing more exciting updates soon. BetVision is obviously an exciting opportunity and we're still in the early stages of the development and distribution. However, our tech distribution stems well beyond the scope of betting alone and we approach our league relationships much more holistically. We are leveraging our technology to provide solutions for some of the biggest challenges that the leagues face. For instance by utilizing our proprietary computer vision, machine learning, AI technology; we're empowering alternate telecast of live sporting events, semi-automated officiating, coaching insights platforms, BetVision and much more; all built on GeniusIQ, a single data capture system enabling a wide range of products. As always, the use of this technology is not something we're just talking about, but actually something we're executing. See Slide 10 for a few exciting examples from this quarter alone, including the EA Sports Madden Cast on Peacock, the NBA 2K DataCast on truTV and Max, Premier League Data Zone or the augmented telecast of the German Cup Match with Sky Deutschland. And we've already kicked off our new year with even more executions built on GeniusIQ. For instance just last week, our technology was used to automate offside decisions for the fifth round of the FA Cup marking an extension of our existing technology partnership with U.K. football. This is a landmark moment for Genius Sports, developing a cutting-edge system that combines mesh tracking, 3D renders and GeniusIQ to power automated offsides for the biggest league in the world of soccer. Additionally, we delivered an augmented data-driven broadcast for key matchups in Lithuania basketball last month, which featured dynamic ad placements on behalf of a local consumer brand. We consistently communicated this as a logical next step to broadcast augmentation and I'm happy to share that we are now executing exactly on that plan we outlined just a couple of years ago and we believe there is much more to come as this technology becomes the new standard. The wide-scale distribution of this technology remains core to our strategy and our mission to be the must-have digital technology partner for all leagues, sports content distributors, sportsbooks and brands. 2024 marks another successful year of executing that mission and we're excited to be continuing with that journey in 2025. With that, I'll now turn the call to Nick to discuss how this execution has translated to 2024 financial results and to our 2025 forecast.
Nicholas Taylor: Thank you, Mark. As mentioned, the product development and commercial execution contributed meaningfully to our results in Q4 and the full year leading to well-balanced revenue growth across all 3 product groups. To start: our betting revenue increased 48% year-on-year in Q4 primarily driven by the immediate impact from the sportsbook contract renewals, which Mark covered earlier. Betting revenue represented nearly 3/4 of our group revenue in the quarter making this a significant contributor to the 38% revenue growth at the group level. It is also worth noting that nearly half of our Q4 group revenue came from the U.S., also highlighting the impact from the recent contract renewal cycle with our U.S. customers. Importantly, the composition of our U.S. sportsbook contracts is now more of a balanced blend between revenue share and contractually fixed minimums. Therefore, from an accounting standpoint, much of our U.S. betting revenue derived from these contractual minimums will now be recognized as fixed revenue as opposed to revenue from variable consideration, which you will see in our 20-F filing next week. That said, we will continue to realize revenue upside through revenue share agreements, but have reduced our downside risk through contractually fixed minimums, which have been proven during the unprecedented NFL season. Despite today's focus on the U.S., we've also renewed several sportsbook customers outside of the U.S. as well, which has driven European revenue growth of 26% year-on-year in the quarter. The commercial success with our sportsbook customers across the globe brought our full year global betting revenue to $355 million, up 29% in the year. Moving on to media. Our revenue has now surpassed $100 million marking an important milestone for the business, which was generating less than $50 million only 3 years ago. With our media revenue up 15% for the year, this product has delivered double-digit revenue growth in every year of our reported history. Lastly, our sports revenue increased 47% year-on-year in Q4, primarily driven by the monetization of products built on GeniusIQ technology, as Mark highlighted in his closing remarks. The global distribution of this technology is strategically important and in the meantime, it has also driven meaningful revenue growth as we have sold products like semiautomated offsides, broadcast augmentations and other playing tracking solutions this quarter to many leagues and federations across the globe. This accumulated to 24% group revenue growth in 2024 to $511 million marking our fourth consecutive year as a public company delivering at least 20% revenue growth and equating to a 25% CAGR in that period. And while our group revenue was driven by each of our 3 product groups this year, it was also well diversified from a regional perspective as well as we delivered double-digit revenue growth in each of our 3 reported geographical markets this year. First, our European revenue, the largest component, increased by 15% this year. Our next largest geographic market, the Americas, increased revenue by 33%, followed by Rest of the World increasing 44%. Again while much of the focus today is on the U.S., it is worth highlighting that we are seeing strong well-balanced revenue growth on a global basis. Importantly, this revenue growth and the relatively fixed and predictable cost base has resulted in consistent margin expansion as we continue to prove the operating leverage in the business model. As you will see on the slide, we delivered 900 basis points of year-on-year adjusted group EBITDA margin expansion in Q4 and 390 basis points of margin expansion for the full year bringing our 2024 group adjusted EBITDA margin to 16.8%. Additionally, this operating leverage is evident in our year-on-year gross margin expansion as well. Our gross margin increased from 16.7% in the full year 2023 to 25.2% in 2024 now marking our highest annual gross margin since our public listing. 2024 also marked our first year of generating positive cash flow, another important milestone for the business. Given the improving underlying profitability as well as our clean capital structure with no debt and stable pace of capitalized investment, we generated $9 million of positive cash flow in the full year. This inflection point was underscored by our operating cash flow of $82 million in the year, up from just $15 million in the full year 2023. We believe this reflects the improving fundamentals of our underlying business and further demonstrates the cash flow potential as we continue to scale. This increasing cash flow allows us to sustainably reinvest in the business to continue developing products that are empowering our partners to stay ahead in the evolving landscape of tech and fan engagement. These products are built on differentiated technology that is extremely difficult for others to replicate ultimately widening our competitive moat whilst also unlocking new revenue opportunities. To conclude: we believe the positive trends across the industry along with our unique technology capabilities, product development and commercial execution sets the foundation for another year of growth in profitability and cash flow in 2025. We expect to generate group revenue of $620 million representing another year of growth above 20%. Additionally, we expect group adjusted EBITDA of $125 million representing a 46% year-on-year increase and 340 basis points of margin expansion to 20%. We also expect to increase our annual cash flow in 2025. We are entering 2025 with strong momentum, high predictability and a set of technology-driven solutions that continue to improve and create value for our partners across the entire sports ecosystem. So we're excited for the opportunity still ahead. With that, we conclude our prepared remarks and open the line to Q&A.
Operator: [Operator Instructions] The first question comes from Jed Kelly from Oppenheimer.
Jed Kelly: Nice job. Just first, just looking at the Media Tech or the Sports Technology Services line, really nice acceleration and then you talked about the products. Just as we're thinking about this into like '25 and '26, should we expect some similar growth and can you just talk about the visibility in that revenue line item relative to your other 2 segments? Then I have a follow-up.
Nicholas Taylor: Jed, it's Nick. Yes, I mean we've always talked about Sports Tech really being an enabler to the rest of the business and I'll let Mark talk about that little more in a second. I mean in terms of the [indiscernible] of the numbers, we've obviously announced a number of specific deals with European soccer leagues and so on, which is coming through there nicely and I'm expecting that to continue to grow through '25 and '26. But a really exciting aspect of that is not really the specific numbers that that drives, but the strategic importance of that.
Mark Locke: Yes. It's one of these things that's quite complicated because the Sports Tech that we're rolling out, the underlying technologies such as the stuff that's coming from SAOT, the Dragon rollout and how all of the augmentation is being translated in things like Madden Cast and the NBA 2K work. It all pulls together to give us a platform for an acceleration in a lot of the media business as well. So it gives us the inventory that we want. And whilst we're being super conservative as we always are in terms of forecasting that, we see huge growth opportunities. And I think the key thing that we've learned in the last few months from the actual delivery of Madden Cast, the delivery of BetVision, the delivery of the 2K is how well those products are received in the market, the adoption rates not only the consumers, but also the businesses that we're providing them too are super happy with them. And so our focus is about getting that distribution as widely done as possible and using that as a platform for media growth whilst obviously being reasonably conservative about that in the way that we're forecasting.
Jed Kelly: Got it. And then just my follow-up. You highlighted Europe in your prepared remarks. There is talk of the NFL if they do move to an 18-game schedule, you're likely going to see a lot more games over in London. Are you starting to see a benefit of more people betting the NFL? And can you just talk about what European expansion or the NFL bringing more games into Europe, how you stand to benefit?
Mark Locke: Yes. Look, the NFL is super exciting in Europe and it's being picked up. You've seen the stuff in Germany. I think it was Paddy Power, a part of the Flutter Group, that had it down as the fourth biggest sport that they offered. So you're seeing real traction with the NFL. The NFL has put a lot of time, effort, money and I think they're getting really good results from really focusing European's attention to it. The games are really oversubscribed when you actually go there and the hype. I've been to the NFL games in Europe and the hype there is big. So we're pretty excited by that. Obviously the product sets -- again bringing it back to the product sets, bringing it back to BetVision; these product sets are really key to our growth and they're sort of very well positioned for not only things like the NFL, but other sports. As I said, we're rolling out soccer in Q2, basketball in Q3 in BetVision and all of this stuff is coming together in a really strong way.
Operator: The next question comes from Bernie McTernan from Needham.
Bernard McTernan: Maybe just to start and I know we've been kind of spoiled in the past with the amount of guidance that we get from you guys especially on a by segment and quarterly basis. But any puts and takes that we should be thinking about throughout the year in terms of seasonality would be the first question.
Nicholas Taylor: Bernie, you're quite right. Spoiled is the word I'd use, Bernie. I'm expecting growth throughout the year really and I think it'll be particularly strong in the first half of the year I think coming from betting because we're comping against the old contracts, as you know, back in 2024. I think as I look through the year, it's probably harder to replicate the 48% growth we just delivered in betting in Q4, but I'm still expecting strong growth in the back half of the year. I think for the media, it's probably the reverse. I'm expecting stronger growth in Q4 and Q3 in 2025. What I'd also say, Bernie, is that although it's early and I'm not going to guide to 2026 now, I think our initial view is that we anticipate to continue both that strong revenue growth and the continued margin expansion that we've seen in '24, '25 through '26 and beyond as well.
Bernard McTernan: Understood. And then I know a couple of years back, we went through a lot in terms of like FX impact and constant currency growth. Just any thoughts in terms of how FX is impacting the current guidance?
Nicholas Taylor: Yes. As you know, Bernie, I hate talking about FX. Look, for '24, I mean the numbers are highly immaterial in relation to FX. For '25, we've guided based on what the current FX rate is. And so again I'm not expecting there to be any particular impact through '25 and beyond.
Operator: The next question comes from Ben Miller from Goldman Sachs.
Benjamin Miller: Mark, with '25 setting up to be a cleaner year with the league and the sportsbook negotiations now more behind you, I'm curious to hear more on your priorities as a management team this year and what specific areas of the business you're most focused on in '25, whether that's from a product or broader capital allocation perspective?
Mark Locke: Yes, it's a great question actually and something we're heavily focused on. So I think that falls into a few different areas. I mean we spent the last part of '24 bringing in a fairly new and refreshed senior management team. So we've brought in a new CTO, Mark Kropf, who was a Technical Director in the CTO office at Google. We brought in a new Chief People Officer from Amazon. And we've spent a lot of time making sure that they're well bedded into the business and they're adding a lot of value. So there's been a lot of focus on some of the operational execution in terms of getting the management team in a really good place for growth. As you know, '24 was a good year for contracts and a good year for negotiations, but it was also a very good year for product. Delivery towards the end of the year on product was a big focus for us. We've got those products out the door. They're performing extremely well. Everything from SAOT, the update and the rollout of Dragon, things like the Madden Cast we've already mentioned and the NBA 2K and of course FanHub, the platform. So all of those products have had successful rollouts and the business is very focused on that. We said in the prepared remarks that we're focusing on a shift in the business in terms of the sort of center of gravity to New York. That's going particularly well. I mean minor things like we're moving offices in New York to a more appropriate place. We've implemented a return to office policy across the group. And we're in a place where we're really focused on I guess the nitty-gritty execution of the business. It's been a really big focus for us. And as part of that, we expect to see a lot more rapid product delivery. As I think we've already mentioned, we've got the delivery of soccer in BetVision coming out in Q2 and basketball in Q3. That's quite a big lift for us. There's a lot of delivery there, there's obviously a lot of games and we expect that to have a very positive impact on the business from a revenue point of view although we're being extremely cautious about forecasting now in the media line. So I think it's really a case of getting our heads down, making sure that we're executing well, that the management team is well placed and that we're really providing ourselves as a platform for growth. I feel very good about the business. We sort of feel like a coil spring really and we're in a good place. We've got strong numbers, got good contracts, we've got a lot of visibility and we've been very conservative about parts of our guide as well. So we feel like we've got a real opportunity to have a really strong year in 2025.
Benjamin Miller: Great. And then maybe just talk more about the capital raise and how you think that positions you against some of the key objectives that you laid out. And when we think about potential types of M&A you're looking at, how transformational as it relates to net new business lines versus tuck-ins to augment existing lines should we expect?
Mark Locke: Yes, another good question. I mean look, you raise money when you don't need it, right? So we've got a very strong balance sheet. It puts us in a very good position. We're seeing a lot of interesting tuck-in acquisitions, opportunistic deals. We're going to be super disciplined about it. It's got to be cash accretive, got to be businesses that really accelerate our long-term vision. We don't need to do acquisitions for the sake of it. But we are seeing more and more opportunities in the market as things become more difficult. We've looked at some of the kind of bigger deals out there, but to be honest with you, fairly unattractive. We don't like really pushing our data rights lines up without any real benefit for that. There doesn't seem to be a lot of sense in that. We don't need to be pushing some of the costs into the business in the way that maybe those deals are. So we've passed on a bunch of that stuff. So really we're in a place where we're thinking okay, long term let's tuck in some acquisitions. Let's make sure they're cash accretive. Let's make sure that they're in line with our long-term strategy and get our heads down and just deliver and again we're well placed to do that. People know we're shopping and we're in a strong place to be competitive in those markets when we want to.
Operator: The next question comes from Jason Bazinet from Citi.
Jason Bazinet: Can I also just ask 1 question on M&A. When you say you have balance sheet capacity to unlock the next leg of growth, is that just referring to the robust cash balance that you have or you might potentially lever up? That's the first question. And then the second one is when you say... Sorry?
Mark Locke: Yes, the cash.
Jason Bazinet: Okay. Got it. And then when you say any deal you do would be accretive to margins and cash, is that sort of a 1-year forward commentary or it could take a couple of years for it to be accretive?
Mark Locke: I mean the idea and the focus is to make it immediately cash accretive. I mean that's the deal that we want. Look, we're in a good position. We don't need to do anything. We don't need to do any deals. We've got very strong technology stack. We've got a ton of new products and I won't go through it again. So the industry is changing as you all have seen it. There are some businesses that are struggling. Some of them are not frankly, not very attractive. Others are more attractive. And the prices of some of those businesses are coming to a point where actually you're thinking they could be additive to us at the right price and we're well positioned. So that's really our focus.
Operator: The next question comes from Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Looking at your dollar-based net retention, which is a very helpful graphic, it's very strong overall; but even stronger in the Top 25, even stronger in the Top 10 U.S. customers, which I think may be surprising to many because Genius appears to have increasing leverage with the biggest operators versus getting squeezed by them, which is a perception from an industry standpoint for some. So I guess my overall question is I guess how much of that is the increased price? How much of that is higher take rate versus kind of volume, upselling more products and just really leaning in with those large operators and then wanting more from Genius?
Nicholas Taylor: Ryan, it's Nick. I mean in truth, it's all of that. As you know, we did a lot of contract renegotiations during the fall of '24 and all of those things that you just talked about in terms of new product. BetVision is obviously the most talked about example, more events, higher price; all of that plays into that. It's very difficult to actually pick that apart because that's not how our contracts are structured. But you're absolutely right. We're very pleased with that start and we expect to continue that it will be strong going forward.
Ryan Sigdahl: And just for my follow-up. Any early feedback you're getting on FanHub and what you're hearing from your customers, what they like, maybe don't like, updates coming this year?
Mark Locke: Yes. Look, it's super early days. Remember, we only launched this product in October. But I think the key thing to focus on is that we saw the shift coming quite a long time ago in the way that media is being managed and it's moving from managed to self-serve and the product rollout that we focused on the investment that we've made over the last couple of years to get ourselves in a position where we have a credible self-serve platform is an investment that's been well made. I mean I'm sure you heard the comments that Trade Desk made about the way that the market is going and how sportsbook is a very interesting vertical. We're incredibly well placed in that space. So I think from our point of view, we've got the right product. Still some work to do, we're still rolling it out. These are really early days. Hence we're being super, super cautious in our guide about how much of that's really going to come through into the business in 2025 in real revenue terms, but we see some quite material upside assuming we get that product rolled out well. The best thing about it is that we know the product is good. We know the product is good, we know it's the right product, we know we've got the right data, we've got a really good new team of people that we've brought in under our new CTO who clearly has a lot of experience coming from Google and the team he's brought in are delivering very, very quickly actually a lot of the new product features. So we're feeling very positive about that and it's being well received in the market and conversations are going well.
Operator: The next question comes from Mike Hickey from The Benchmark Company.
Michael Hickey: Congrats guys on a great 2024. Nice to see the very strong '25 guide as well. Just 2 questions for us. The first one, Mark, it seems like your operator partners, in particular DraftKings in the U.S., seems very enthusiastic about sort of unlocking the growth of in-play and I think we saw maybe an early look at that during the Super Bowl. But sort of curious of your experience there and what you think are sort of the keys to unlocking in-play, which has been I think somewhat maybe of a disappointment versus your original expectations, but now is maybe starting to inflect a bit? And then I have a follow-up.
Mark Locke: Yes. I mean to be honest with you, I think you said it in your question. Look, we're seeing the shift that we always thought we would from the operators to focus on that. I mean it's obviously worth reminding people the increased take rates, the increased margins that you get from an in-play bet and I think the operators are very heavily focused on that. BetVision is clearly delivering extremely strongly. We gave the numbers in the presentation earlier in terms of the increases in in-play and sort of time on the screen. So the vision and the strategy have come together very nicely and we're feeling good.
Michael Hickey: Nice. On your guide, Nick, it sounded like you made maybe a philosophical change here in terms of how you build it up. Obviously it was very strong above consensus. Historically, you've kind of taken the approach of maybe disappointing a little bit and then beating and raising through the year. But I guess now that you just have better visibility on the revenue and cost in '25, has your sort of approach changed here or should we expect another year of beat and raise?
Nicholas Taylor: Yes. I mean in concept, our strategy hasn't changed at all, Mike. I mean what I would say is as we've entered the year, we certainly have more clarity entering '25 than we've done in '24 if you remember where we were at this point last year and therefore, I expect us to probably be slightly more accurate with this guide than we've done before. You've heard me say, Mike, that in the medium term we expect to be a 20% revenue growth business and that's what I'm guiding to this year. You've heard us say that we expect that to drop through at sort of 30% to 40% in the medium term and again that's what we're guiding to this year. And you've heard us talk about being cash accretive in '24 and I expect that to continue through to '25. So yes, no change in philosophy, probably just have a slightly more visibility this year than we've done previously.
Mark Locke: You can't fight nature, Mike. We're still the same conservative bricks we've always been.
Operator: The next question comes from Eric Martinuzzi from Lake Street Capital Markets.
Eric Martinuzzi: I was just curious on the Media tech part of the business. The 4% growth in Q4 was below what I was expecting. The 15% growth for the year obviously at double digits and that's impressive, but still below the company average. As you look out to 2025, you're talking about growth of 21% for the entire business. Where does Media Tech fall in that growth spectrum?
Nicholas Taylor: Yes. I mean you're right. I mean first of all, 15% year-on-year growth for '24 as a whole is something that we're pretty happy with and as you say, media's delivered double-digit growth every year since we've gone public. I'm expecting '25 to be another double-digit year. And I think Mark's already talked about in some of the previous questions about the exciting part of the media business and FanHub. And as the media market is evolving, how we're leading that evolution. So expecting a strong year for media in '25.
Operator: The next question comes from Jordan Bender from Citizens.
Jordan Bender: On the expansion for global sports for BetVision in '25, just curious how we should be thinking about that from an investment perspective. And given that the ex U.S. business is a largely fixed revenue business, should we be thinking about that impact as there will be another upsell to operators and it may take time to recognize that revenue from this initiative?
Nicholas Taylor: Jordan, clearly as we roll out BetVision, there will be revenues directly associated with that piece of product for 2025, which is predominantly already built into the guide. As you've heard Mark talk about earlier in the call, I mean really exciting for us around getting BetVision out and ubiquitous nature is all the strategic aspects of what BetVision is driving for us and how that comes together with our own unique inventory and the piece of FanHub and around the broadcast. I mean that's really the exciting piece, which whether that's a '25 piece or a '26 piece and beyond will depend on how quickly, as Mark already talked about, the acceleration of product. But any specific revenues in relation to BetVision already built into '25 as a technology product.
Jordan Bender: Understood. And then just following up on the guidance. I was just seeing if we could get some clarity around kind of what's baked into that. We had Missouri in the back half of the year. Is that in there? Brazil just went live Jan 1. To the extent that you can help us with how much that's baked in. And then Football DataCo, I believe those rates sit in the back half of the year. Just kind of how does that impact the 36% flow-through guidance for the year?
Nicholas Taylor: Yes. So I mean everything that you just commented on and everything that we're aware of today is baked into that so whether that's any state and I think you're right, Missouri is really the only material state. Brazil we're obviously live with. So what that looks like in '25 is baked into this forecast as well as all of our cost base, which includes [ rates ]. As you know, Jordan, our rates are fixed and have complete visibility not just through '25, but obviously beyond through to the end of the decade. And as we've announced this morning, we're expecting our EBITDA margins to grow. They've grown consistently over the last [ 4 years ] and we've announced guiding this morning from 16.8% through to north of 20%. That includes any uplift on all rates that we're expecting, including the new FTC contract.
Operator: The next question comes from Clark Lampen from BTIG.
William Lampen: I have 2. Following up on BetVision. Nick, I'm curious if you would be willing at all to dimensionalize how much is included in guidance for 2025. But then maybe adjacent to that, how much flexibility do you have for ad insertion as BetVision is expanding to new sports? If you guys wanted to do pre-rolls, are you able to make that decision on your own or is there a discussion that you need to have with some of your partners, whether it's the B2C partner or the league, to make sure that you get that inventory live? And on margin expansion guidance for the year, if we're thinking about the sort of 350 basis points or so that you're expecting, is there going to be a meaningful difference between gross margins and EBITDA i.e. is most of the upside really coming from direct cost leverage rather than OpEx this year?
Mark Locke: So on the inventory point, look, I mean it's our play and that's how we've developed the product set. So we've got a level of control and clearly this was the strategy that we've lined up. So the short answer is yes, we have the ability to do that.
Nicholas Taylor: Yes. And Clark, there's a couple in there for me as well. So just on '25 in terms of BetVision, I'm not going to call out specifically what that is in relation to tech. The answer I gave earlier I think it was to Jordan's question in relation to the strategic aspect of BetVision, really that's not built into '25 at all. That's any upside and based on how quickly we can accelerate the product launches that Mark's already talked about. Specifically in terms of the makeup of the income statement for '25, I mean we've had some success and I think we called out in the prepared remarks on the slide in relation to both gross margin and direct costs and I'm expecting a similar makeup through '25 as well.
Operator: The next question comes from Chad Beynon from Macquarie.
Chad Beynon: Congrats on the result and the guide for '25. Just 1 for me. Just trying to figure out how some of the tax proposals that are going on around the world could impact your business. I know there was a tax change down in Colombia kind of pushing the tax down to the consumer. But given the breadth of different bills that have been proposed so far this year, particularly in the United States, wondering how you think that fits into the business long term and if you expect to see much impact from that.
Nicholas Taylor: Chad, I mean I guess the key answer is really the resilience of our business model is what I'd say. I mean first of all, these tax changes are really regulatory changes. They are nothing new. We've seen it all before as other markets have matured on a global basis. And as you know, we have so many different levers of growth, we have so many different geographies. The U.S. is not a majority of our revenues and then you separate it on a state-by-state basis, you can see that it becomes immaterial on an individual basis. But the key thing really is that sort of picks and shovels play on that global basis really protects us from that position.
Operator: The last question comes from Thomas Shinske from Cantor Fitzgerald.
Thomas Shinske: This is Thomas on for Brett. I guess just 1 for me. Given the results were largely in line with the guidance despite declining bookmaker win margins during the quarter, is it fair to say that in-play adoption was broadly in line with you guys' expectations or was this mostly driven by increases in pricing resulting from the contract renegotiations?
Nicholas Taylor: Thomas, it's Nick. Look, I guess it's quite similar to the answer I've just given to Chad's question around resilience of our business model. The way we're set up with our sportsbooks is that any particular result doesn't materially impact us given our global geographical spread. Also the way our contracts have been set up are slightly different in 2024 new contracts. They've evolved slightly. It's still true that we will grow as the market grows as the tailwinds in the industry, whether that's in-place sports betting or TAM increases. But we have got things like minimum revenue guarantees in place to protect us from any vagaries of any particular one-off results and you've obviously seen that in Q4. You've heard that from operators. And as you say, we're directly in line with our expectations and that's really one of the key things about Genius Sports in terms of that resilience of business model.
Operator: And that is the end of the Q&A session. Ladies and gentlemen, that concludes today's call. Thank you all for joining and you may now disconnect.